Operator: Good morning. My name is Miki, and I will be your conference operator today. At this time, I would like to welcome everyone to Goodyear's Third Quarter 2021 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speaker's remarks, there will be a question-and-answer session.  I will now hand the program over to Nick Mitchell, Senior Director, Investor Relations.
Nick Mitchell: Thank you. And thank you, everyone, for joining us for Goodyear's third quarter 2021 earnings call. I'm joined here today by Rich Kramer, Chairman and Chief Executive Officer; Darren Wells, Executive Vice President and Chief Financial Officer; and Christina Zamarro, Vice President, Finance and Treasurer. The supporting slide presentation for today's call can be found on our website at investor.goodyear.com, and a replay of this call will be available later today. Replay instructions were included in our earnings release issued earlier this morning. If I can now draw your attention to the safe harbor statement on Slide 2. I would like to remind participants on today's call that our presentation includes some forward-looking statements about Goodyear's future performance. Actual results can differ materially from those suggested by our comments today. The most significant factors that could affect future results are outlined in Goodyear's filings with the SEC and in their earnings release. The company disclaims any intention or obligation to update or revise any forward-looking statements, whether as a result of new information, future events or otherwise. Our financial results are presented on a GAAP basis and, in some cases, a non-GAAP basis. The non-GAAP financial measures discussed on the call are reconciled to the U.S. GAAP equivalent as part of the appendix to the slide presentation. And with that, I'll now turn the call over to Rich.
Rich Kramer: Great. Thank you, Nick. Good morning, and welcome, everyone, and thank you for joining us. Let me begin my prepared remarks by providing some comments to supplement this morning's press release. Our third quarter results show substantial growth in net sales of 42%, partly driven by our recent acquisition of Cooper Tire and partly reflecting strong organic sales growth in our legacy business. With this momentum, we generated $449 million of merger-adjusted segment operating income for the quarter, more than double our earnings from last year and also well ahead of pre-pandemic levels. Notably, our earnings growth came despite a 15% increase in our raw material costs in the quarter, which was in line with our previous forecast. Now for context, this compares with an increase of about 1% in our raw material costs during the first half of the year. And like most companies, we're also experiencing significantly higher inflationary cost pressures. While manufacturing locally in the regions where we're selling tires partially insulates us from cost increases related to global supply chain challenges, we are experiencing the higher transportation costs that we forecasted on our last call. Additionally, we're seeing added pressure from increased wage and benefit costs and higher utility rates, partly reflecting the growing energy crisis in Europe and China. To counter these impacts as well as higher raw material costs, we've continued to execute strategies to capture higher selling prices for our products, which helped drive a 10% increase in our revenue per tire in the quarter, the most in nearly a decade. At the same time, we're also focused on recovering volume and growing our market share. In the quarter, we continue to benefit from strong customer demand for our products globally. As a result, we saw our legacy consumer replacement business recovered nearly a percentage point of market share. That's a significant move over a very short period of time. We came into the year confident that we would grow market share given the distribution changes we made in Europe last year and the benefits of Walmart reopening its Auto Care Centers after temporarily closing them early in the pandemic. I'm proud of how our team is executing and quickly recovering our share. In our commercial replacement business, we experienced robust demand as the transportation industry moves record freight volume. Here, we delivered another strong performance with shipments to fleet customers well above pre-pandemic levels. Focusing on this important segment of the commercial truck market is paying off for us, winning with these results in more consistent demand for our most premium products and creates opportunities to enhance customer loyalty through our leading mobility solutions, both of which can reduce the impact of cyclicality. We're also excited about our progress integrating Cooper. As we learn more about Cooper's business, we're identifying additional opportunities. These insights have increased our confidence in achieving synergies beyond our initial forecast. On the other hand, our consumer OE business continued to be affected by weak auto production given the shortages of manufacturing components and materials. During the quarter, industry shipments to OE customers were more than 20% below the third quarter of 2019 and considerably weaker than third-party forecasts at the beginning of the quarter. Reductions in orders related to OE production have created inefficiencies in our operations and limited our volume growth this year, particularly in Europe and in China. The current conditions will undoubtedly lengthen the global OEM recovery. While the environment is certainly less than ideal, the need for OEMs to catch up with consumer demand and replenish inventories will support higher industry volume over the next few years. We are well positioned for the recovery, given our growing market share, including our leading position on EV platforms. In summary, we're seeing some contrasting industry dynamics today between consumer replacement and OE, but combined the two segments should provide good growth prospects going forward. You can see this in each of our business units. In the Americas, our consumer business continued to benefit from a strong cyclical recovery. Excluding the impact of the Cooper merger, our large room diameter consumer replacement volumes increased more than 20% in the U.S., nearly 3x the industry rate. While our premium products continue to set the pace for growth, we also experienced double-digit growth in smaller rim diameter segments, supported by recovery at Walmart's Auto Care Centers. Cooper's mid-tier offerings continues to resonate with consumers, who are looking to balance product performance and price, helping our team deliver strong results. A leading presence in the mid-tier light truck and SUV category helped Cooper grow its U.S. consumer volume while delivering double-digit operating margin performance, excluding the impact of merger-related costs. There is also a strong recovery underway in the U.S. transportation industry. These dynamics are fueling an increased need for new Class 8 trucks, tires and services, all of which play to the strength of our commercial business. During the quarter, our U.S. commercial OE volume was up over the prior year, reflecting higher truck builds. In addition, our Goodyear fleet business continued to perform well with fleet tire volume increasing more than 10% compared to the third quarter of 2019. If not for supply constraints, our commercial results could have been even stronger. While we're benefiting from our leading position in the North American commercial market, we are not resting on our laurels. Instead, we are innovating to develop solutions that will allow us to win as markets change and customer needs evolve. In the third quarter, we signed a multiyear collaboration agreement with Gatik, the first autonomous middle-mile logistics service provider in North America. Together, we will work to advance sustainable mobility solutions for autonomous B2B short haulers with the shared goal of making it safer and easier to move goods. Gatik's fleet of autonomous commercial vehicles will leverage the power of our tire intelligence technology powered by Goodyear sight line to improve stopping distances, reduced fuel consumption and lower maintenance costs. This is a terrific opportunity for us to apply our connected tire solutions to drive efficiencies in the increasingly important middle-mile segment. Turning to EMEA; we are seeing good momentum in our business. Excluding the merger, our European consumer placement business delivered 9% volume growth in a relatively flat market, supported by our aligned distribution strategy. The outperformance was broad-based as we gained market share in summer, winter and all-season categories, a testament to the strength of our product portfolio. And it's just not consumers who see great value in our products, just this month, Goodyear was named the winner of the German magazine Auto Bild's all seasoned tire test for the second consecutive year, placing ahead of more than 30 other brands in a comprehensive examination of dry, wet, snow and mileage performance. Accolades like this helped reinforce our leading position in the all-season category, the fastest-growing market segment. EMEA's commercial business is seeing strong demand for our commercial truck tires as Europe's economic recovery continues. Volume in our Goodyear commercial business was 6% above 2019 levels. While we have grown our share considerably this year, capacity constraints have restricted our performance. To meet the fast-growing demand for our fleet solutions in EMEA, we've recently announced capacity expansions at our manufacturing facilities in Luxembourg and Wittlich, Germany. We're also harnessing innovation to respond to our customers' needs. For example, we've committed to developing solutions to help our customers achieve their CO2 emissions reduction goals. In September, our European commercial team launched the Fuel Max Endurance, the most versatile and fuel-efficient commercial tire we have ever produced. As a result, fleets no longer need to choose between durability, mileage performance and fuel efficiency, a key driver of emissions. We believe tires and related solutions will play an essential role in the journey towards sustainable mobility. This market evolution will give us opportunities to further differentiate our products as we move ahead. Turning to Asia Pacific; industry demand softened considerably during the quarter, largely reflecting COVID-related disruptions in China and several ASEAN markets in July and August. Lockdowns and other mobility restrictions further complicated what was an already challenging OE environment due to semiconductor shortages. While these factors pressured organic volume trends in our OE business, we gained share for the second consecutive quarter, reflecting the release of new fitments. We're also growing faster than the market in the consumer replacement segment. Investments in distribution are driving strong results in India, where we've increased our share by more than 7 percentage points compared to 2019. Our share is also up nicely in China compared to pre-pandemic levels, as we are benefiting from scaling up our direct-to-retail distribution model and new product launches, including the recent debut of the Assurance MaxGuard. I'm sure you can tell from our business initiatives that we're very focused on leading towards a more sustainable future. The challenge we believe is right in front of us. Change in our industry is creating tremendous growth opportunities for Goodyear and as a leader in our industry, we must set the tone for benefits of future generations. And our track record is clear. We developed more fuel-efficient products, reduced energy usage in our factories and eliminated waste to landfills. We've discovered ways to use more sustainable raw materials such as soybean oil and rice husk ash silica that delivers similar or better product performance while reducing our environmental impact. Our engineering and manufacturing teams are also embracing these advances. We've constructed a tire without petroleum-based content and traditional film materials like carbon black and sand-based silica. With this momentum, we've challenged ourselves earlier this year by setting a goal of developing a 100% sustainable material and maintenance-free tire by the end of this decade. We're also focused on greenhouse gases and greener energy sources. As a part of our commitment to reduce CO2 emissions, we are working with energy supplier and  to build two large solar power stations at our testing facilities in Luxembourg. Beginning in 2022, these cutting-edge facilities will add carbon-free energy to the local power grid that will be available to nearby communities for years to come. In addition, we have recently announced a multiphase plan to power Goodyear's manufacturing facilities across Europe, Middle East and Africa, solely with renewable electricity by the end of 2022. We estimate this critical shift will reduce our carbon footprint by up to 0.25 million tons, significantly reducing the environmental impact of our operations. Goodyear is committed to building a better future. In keeping with this commitment, we plan to announce updated climate-related goals by year-end, consistent with the climate strategy development time line we shared in April. I look forward to updating you on our long-term ambitions in the new year. In summary, we have good momentum, and we are taking actions to strengthen our business and to ensure we are leading our industry towards a more sustainable future. When I consider the industry conditions we faced in the middle of last year, I'm truly amazed at what we've accomplished during the past four quarters. We've recovered our market share, strengthened our OE pipeline, more than offset inflationary cost pressures and successfully managed unprecedented supply chain challenges. We've also completed a transformational acquisition and continued advancing our mobility and sustainability initiatives. To accomplish all of this in the midst of a global pandemic is a testament to the strength of the Goodyear team, a team that is stronger following the addition of Cooper. I would like to thank all our associates for their contributions to our success. And now, I'll turn the call over to Darren.
Darren Wells: Thanks, Rich. In most ways, our third quarter results reflect a continuation of many of the industry trends and successful Goodyear initiatives that have driven the strong momentum we've seen over the last 12 months. You will see the impact of this momentum in the strong top line growth and earnings growth for the quarter and the continued strength in segment operating income margin. The quarter also saw a continuation of some of the challenges companies are facing across all industries, including delayed shipping, difficulty maintaining adequate staffing and increasing inflation driven by these and other factors. It's also seen the introduction of a few new challenges, including inconsistent supply of power for manufacturing in China. And of course, the challenges associated with automotive production and rising raw material costs are still with us as well. As you can see, our team has done a good job managing through these factors in order to preserve the benefits of our cost and cash flow initiatives and continue to recover market share loss during 2020 as a result of our unique distribution footprint. This has helped us again deliver results ahead of pre-pandemic 2019 levels with significant industry volume recovery yet to come. Q3 results also reflect the first full quarter's impact of the combination of Cooper and Goodyear, helping drive the significant growth in volume and sales revenue. I shared during our second quarter earnings call and again at an investor conference in mid-September that we were continuing to feel positive about the opportunities to drive synergies. I'll share with you today some more specifics about the early savings we're seeing and the benefits we expect over the first two years of the combination, which we now see as higher than when we announced the transaction. While we won't talk much about 2022 today, these positives, along with the challenges will be the backdrop for our plan for next year, as we look to continue our momentum while addressing both increased capital investment needs and our deleveraging objectives. Our third quarter sales were $4.9 billion, including just over $900 million of sales from Cooper Tire. Sales generated through Goodyear's legacy operations increased 16%, driven by improvements in both price and mix. Unit volume increased 32% from last year's third quarter, reflecting the addition of Cooper Tire units and organic growth in our replacement business. Segment operating income of $372 million marked our best third quarter performance since 2016. Merger-related costs were $77 million, including $70 million of amortization associated with the step-up of inventory to fair market value at closing. Third quarter merger adjusted segment operating income, which excludes these costs, totaled $449 million or 9% of sales. After adjusting for merger-related costs and other significant items detailed in our press release, our earnings per share on a diluted basis was $0.72, up from $0.10 a year ago. The step chart on Slide 10 summarizes the change in segment operating income versus last year. As we've done all year, we also included a comparison to 2019 on Slide 11 that provides some additional perspective on our recovery. Compared to the COVID-impacted year ago period, the benefit of higher volume was $115 million, reflecting increased production and replacement unit sales growth in Goodyear's legacy business. The non-recurrence of temporary fixed cost reductions, including COVID-related government payroll incentives, partly offset the benefit of higher production volume. As Rich mentioned earlier, we delivered our best price/mix performance in nearly 10 years, and revenue per tire for the quarter was up 10%, excluding foreign currency. The combined impact of higher prices and improved mix contributed $327 million to earnings, which more than offset higher raw material costs of $161 million as well as inflation of $57 million. The cost savings versus inflation picture is worth spending a bit of time on, as this is an area that looks different going forward, at least in the near term than it has in recent history. Third quarter costs reflect a combination of factors. First, there was some restoration of costs that were artificially low last year, as we were ramping up after the spring COVID-related shutdown. This is what creates negative cost savings. This impact is temporary. Second, as we indicated on our last call, we started to see increased inflation in transportation and labor costs. These added costs helped drive healthy inflation impact well above anything we've seen in recent years. Although some of the increase we expected in Q3, now will be recognized in Q4 given volume timing. These cost pressures are going to remain with us for the remainder of this year and into next year. We'll come back to this when we discuss the fourth quarter outlook, but the cost savings versus inflation picture will require more focus going forward. The other category nets to zero, so no overall impact in the quarter. This reflects offsetting factors. First, it includes the restoration of advertising cost to something closer to pre-pandemic levels. Second, it includes some additional inflationary cost pressures, including warehousing and retail. These cost increases were offset by improved earnings from our other tire-related businesses and higher equity earnings on our TireHub investment. Similar to last quarter, we've included two bars to show the impact of the Cooper Tire transaction on results. The green bar on the left reflects Cooper operating income, which totaled $125 million during the quarter or 14% of sales. The results reflect strong performance in North American consumer replacement. The red bar on the right captures the merger-related costs mentioned earlier, including $70 million of amortization of the Cooper Tire inventory step-up and $7 million of amortization related to the incremental intangible assets recorded in connection with the merger. The amortization of intangibles is running a bit lower than previously expected given ongoing updates to preliminary purchase accounting. Turning to the balance sheet on Slide 12. Net debt totaled $7.1 billion. The increased net debt compared to last year reflects approximately $1.9 billion of cash consideration and closing costs for the Cooper transaction. Net of over $500 million of positive cash flow generated over the trailing 12 months, as shown on Slide 13. Turning to our segment results beginning on Slide 14. Americas unit volume totaled 25.9 million, up 59% compared to the prior year's period. The increase reflects the addition of 8.7 million Cooper Tire units as well as volume returned to pre-pandemic levels in our replacement business. As you might expect, our OE volume was down. Americas segment operating income totaled $259 million or nearly 9% of sales. Americas results included $113 million of merger-adjusted operating income from Cooper and $69 million of costs triggered by the merger, mostly amortization related to the inventory fair value step-up at closing. Excluding the impact of the Cooper transaction, segment operating income for the Americas would have been $215 million, reflecting improvements in price mix net of higher raw material costs and benefits of higher volume, including increased factory utilization. These benefits were partially offset by the cost pressures that impacted our company results, including higher transportation and labor costs. In addition, our North American factories experienced staffing challenges that were more significant than in other parts of the world. While there's been higher absenteeism globally, in the U.S., we've had much greater levels of retirements and turnover and therefore, more long-term hiring needs post COVID. The result of this is a much higher number of associates being trained in our factories in the U.S. This has impacted our Americas business in three ways: first, it has made it more difficult to increase production to pre-pandemic levels; second, it's resulted in a higher number of nonproductive workers, both those being trained and those training them; third, it's made it more difficult to work on ongoing efficiency programs. This has resulted in significantly higher costs near term relative to the number of tires being produced. More about that when we cover our outlook. While we expect these additional costs to be transitory, they'll be with us through at least Q1 of next year. Turning to Slide 15; Europe, Middle East and Africa's unit sales increased 8% to 14.2 billion. Replacement volume increased $1.5 million, reflecting share gains in our legacy European consumer replacement business, including continued recovery of last year's temporary volume losses as a result of our initiative to better align our distribution. Overall, OEs in Europe produced 30% fewer vehicles than in last year's third quarter. As a result, our OE volume declined by 0.5 million units. Europe, Middle East Africa segment operating income of $81 million was up $59 million compared to a year ago. Improvements in price/mix net of higher raw material costs and the impact of higher volume, including increased factory utilization, drove the earnings growth. There was no material earnings impact from the Cooper transaction for EMEA. Turning to Slide 16. Asia Pacific's tire units increased 900,000 to 8.1 million, mainly reflecting the addition of Cooper Tire volume. While our China consumer replacement business was affected adversely by the return of COVID-19 lockdowns and flooding in the head on province. We still saw share gains and replacement volume growth in the quarter. We also saw growth in our OE business with volume up 0.5 million units compared to a year ago. While industry demand was lower, we increased market share for the second consecutive quarter. We would expect to see an even more meaningful impact from our improved market position as vehicle production normalizes. Segment operating income was $32 million, down slightly from the prior year, reflecting higher raw materials and other cost pressures that we were not able to fully offset in the quarter. The addition of Cooper did not materially impact Asia Pacific's earnings. I'll cover our normal outlook items in a minute. But first, I want to share with you an update on the work the combined team has done to develop specific synergy plans for the Cooper/Goodyear combination. An enormous amount of effort has been put into this planning process over the last 180 days, led by Ryan Patterson and John Bodart. The result of this planning has been to reaffirm our confidence in tax and cash benefits and increase the expecting earnings benefits. We initially estimated that our synergies would reach $165 million within two years of closing. We now expect the benefits, including the addition of international initiatives and some initial manufacturing and sales opportunities, to reach a run rate of $250 million by mid-2023. This year's results are expected to reflect about $20 million of cost savings from the elimination of duplicative corporate costs, which is a good start. This, of course, excludes onetime transaction costs and accounting adjustments. Turning to our outlook items on Slide 18. As you can see from the summary, we expect many of our trends experienced during the third quarter to continue into the fourth quarter. Against this backdrop, we expect our fourth quarter volume trends to be similar to the third quarter. We expect price mix to continue to more than offset raw material costs, reflecting the benefit from recent pricing actions and improved mix, although our raw material cost increase will approach $300 million for Q4. Similar to what we saw in the third quarter, inflationary pressures, including incremental wage, benefit, transportation and energy costs will be at levels beyond what we can offset with efficiency. What this seems to indicate overall is that we will need to continue to focus on additional price mix to offset not only continued raw material trends, but also other cost inflation, as we move into 2022. There are two additional factors that will impact Q4 costs. First, the transitory cost pressures in our U.S. factories related to tires produced in Q3, will impact our cost of goods sold in Q4 by approximately $50 million. While these pressures will continue into next year, they should begin to moderate with Q1 production, and even the Q1 cost of goods sold impact will be less than Q4. Second, like many other companies, our manufacturing facilities in China have been impacted by the widely reported rolling blackouts. It's difficult right now to estimate the impact of this. We expect our working capital to exhibit normal seasonality in Q4, resulting in seasonal cash inflows and positive free cash flow for the quarter. Lastly, as a reminder, our fourth quarter 2020 results included a $34 million favorable legal settlement and a $13 million charge to establish an environmental reserve. Neither of these items will occur this year. Slide 19 provides a final view of our full year financial assumptions. While these estimates are fairly consistent with our previous outlook, you'll notice we took our raw materials and corporate other toward the high end of the previous ranges and took our interest expense to the low end. We also lowered our full year estimate of incremental amortization of intangible assets related to the Cooper transaction, reflecting adjustments made to the allocation of the purchase price. Now, we'll open up the line for questions.
Operator:  And we'll take our first question from John Healy with Northcoast Research. Please go ahead, your line is open.
Rich Kramer: Good morning, John.
John Healy: Good morning, guys. Congrats on the progress this quarter. I wanted to want to ask on the Cooper synergy target, the upside of the goal there. Could you maybe talk to kind of what you're seeing and where you're finding the synergy upside there?
Rich Kramer: Yes. No, John, thanks for asking. I'll just start by saying the integration process and how we're working with the Cooper team has just been going great. I think everything that we thought has been reaffirmed. Our excitement is there. And we feel absolutely positive about not only the cultural fit, which is so important, but the value creation opportunity that's there. Darren just said, we spent an enormous amount of time together to identify the incremental upside now that we can work together for a team or as a team, I should say. And that's really exactly what's happened, whether it's from the cost side or to expand the reach of the Goodyear brand and the Cooper brand and working together, I think that's exactly what's happened. And that work really allowed us to upgrade the outlook that we have on synergies and raise from the $165 million up to the $250 million. And again, that doesn't take anything away. We'll continue to drive the cash benefits that we have identified relative to working capital and certainly the favorable tax position. So, really I would just -- I'll start off by saying that really on track, maybe even better. I'm very, very pleased with how the teams are working. And you've even seen some of that -- with some of the announcements we've made on new responsibilities within the combined company. So I'll just say, very, very pleased with the way things are going. But Darren, if you could jump in on some of the specifics on the increased target and the timing of it.
Darren Wells: Yes. So John, I think the slide in today's deck will give you a little bit of an indication of the broad categories that we're talking about. I think we continue to see significant benefit in areas that we initially focused on including SAG, including logistics. We've seen -- on those original categories, we saw some improvement in what we expect to get from a procurement perspective, so saw a step up there, as you'll see the bar there looks larger. The other thing that we've had a chance to do now is to think through where some of the initial benefits can be in sales and manufacturing. I think we were not prepared to get in deeply into those categories until we had a chance to close the deal and work together. But I think even in the 2-year time frame or effectively 1.5 years that we have left to work here, we found that there were some cases where going both directions, we were going to be able to move production from either a Goodyear facility to a Cooper facility for lower-value product and free up some more capable equipment to make premium products. So there are some cases where we're able to move lower end product to Cooper factories. We've got some other instances where we're actually able to move some lower value or simpler product into Goodyear factories and free up some premium equipment in the Cooper factory in order to build more light truck, more SUV, which are products that factories are very good at. So I think we've gotten some of those examples. I think we've also found some examples, and again, on both sides, where we've been able to look at manufacturing process and compare the two manufacturing process and find ways that we can de-bottleneck our individual areas of the factory in order to get more output. And so we've been able to quantify the benefit of that additional output. And I think without our two sets of engineers working together, that wasn't going to happen. So I think that's good. We've also got some in here, although still not the biggest item, but some additional sales that we've recognized through the ability to put Cooper brand through select Goodyear points of sales and to offer some sale of the Cooper brand to select Goodyear fleet customers. So there's a couple of different areas there that we've started to move toward. First two years probably not going to be -- that won't be the biggest element, but we start to see those initial opportunities. And obviously, we're going to keep looking for them. But those are -- yes, that gives you an idea of where some of these opportunities are coming.
John Healy: Great. Super helpful. And then just wanted to ask one question on kind of thinking about it next year. Any way we could think about what raw material costs headwind might be for 2022? And what sort of pricing that you would need to get to kind of stay on top of that raw material spread?
Darren Wells: Yes. So I will keep -- obviously keep talking about this, as we go from here through our year-end results. But I think where we stand right now, spot prices in aggregate are up slightly from where they were in early August. And I think particularly with carbon black is up, not a lot of movement in the other -- in our other materials, and we're watching the movement in those prices real closely. And we saw butadiene spike during the quarter, but now has come back down, which I guess ultimately is good. If spot prices hold where they are today, we're obviously going to get some significant raw material cost inflation. And I guess right now, I'm focused on the first half because that's where we actually have a really good insight into where things are. And I think you can probably think of the first half as seeing increases that are similar to what we've seen in the second half of this year. So, we'll get further into the year, as we give our outlook in our year-end call. But I think we've been demonstrating that we got the pricing -- yes, we've been able to price and drive price and mix to stay ahead of the raw material costs. I think that track record is going to be important for us as we head into next year. And it's important because not only are we now thinking that our pricing has got to cover raw material costs, but also focused on making sure that we're recovering and recapturing the additional cost for transportation and other inflationary pressures, which are just at -- yes, there are levels that are higher than we can deal with efficiency programs. And I think right now, we're feeling good about that. There's been a lot of a very consistent level of movement in tire prices during the third quarter. So I mean that -- on a broad basis, that seems to if anything, picked up speed. So I think it's -- these are areas that everyone's feeling. And I think that puts us in a good position, as we look at the challenge that we've got to overcome in the first half of next year.
John Healy: Great. Sounds great. Thank you, guys.
Operator: We'll take our next question from Rod Lache with Wolfe Research. Please go ahead.
Rod Lache: Good morning, everybody. First thing -- firstly, just pricing, obviously, very strong in the quarter, and the most recent round of pricing only took effect on September 1. So you wouldn't have had a full quarter of that. So I'm -- it sounds like it could be just as strong as this in Q4. And I didn't see anything in your press release about additional price increases, but you've been raising prices every three months or so. So is there any reason to believe that the industry won't just continue to recover some of this margin, especially given the inflationary pressures that you're pointing to? .
Rich Kramer: So Rod, obviously, a key question and really building on what Darren said, during Q3, kind of repeating, what you said a little bit, we again saw sort of that net recovery of price versus raw material. And remember, that's continuing a trend that actually goes back to like Q3 of 2019. So that's good momentum as we think about that. And then replacement pricing, we've seen moving higher as a response to, again, not only raw material costs, but Darren, as you mentioned, incremental costs that we're seeing on labor, transportation and energy and so forth. So we monitor all those tire manufacturers that are out there. And what we've seen that they've all announced at least three price increases this year, the latest as you mentioned, broadly speaking, again, we're in Q3 of up to 5% to 8%. And Rod, you would know this, I mean -- we haven't seen this type of pricing since around about 2011 coming out of the Great Recession. So that's -- that momentum is very similar to what we're seeing. For us, we announced both Cooper and Goodyear brands up to 8% in -- as effective September 1. We had -- that's our fourth price increase this year. We had four price increases on the commercial side. And also in Europe, we actually had a mid-season price increase, call it, between September and October. And as you know, that's not typical, let's say, of what we're seeing there. So as we look ahead, I mean, I guess I'd say two things. One, the pricing actions to date put us in a good position to handle those raw material increases that Darren mentioned in Q4. But again, as we look out into the future, call it 2022, we know we're going to have to look for those price mix opportunities to help us with not only the raw material cost increases but the other cost components that we're going to see as well. And that's why we sort of go back to the parallel coming out of the Great Recession in 2011 that we have a situation where demand is running ahead of supply. And if you think about consumer replacement running well right now, the OE business is obviously trailing, which is a bit serendipitous in some ways, particularly in certain markets, particularly in the U.S., where we see that OE business coming back at some point in time. We can talk about when that is, but that we see also as a way to sort of extend this ongoing recovery and this question of supply and demand. So put all that together, I'd say everything is very constructive as we head into 2022, even in view of the -- we have these higher raw material costs and other costs that we have to handle.
Rod Lache: Okay, that's helpful. And just secondly, there are a lot of moving parts on the cost and savings as we're thinking about our models for 2022. Your Slide 21 actually shows kind of a helpful, like every 1% increase in global inflation is $50 million. I was hoping maybe just give us a little bit of color, especially given what energy costs are doing in China and Europe, but just a little bit of color on the inflationary pressure, what the run rate might be? And then, as an offset, how much of the Cooper synergy do you think you can actually achieve in the next year or so? And you mentioned the European realignment starting to pay off in terms of market share, but you originally also pointed to an improvement in profit per tire. Maybe you can remind us of where you stand on that and what the targets are?
Darren Wells: Sure. So let me hit the inflation question first, Rod. We originally were expecting to see inflation in the third quarter. That was about $40 million or above what we saw in Q2. And in fact, the -- it came in a little bit better than that. So we really -- we saw about $20 million less year-over-year than we might have originally expected for Q3. And I think some timing there given some -- the volumes weren't quite as strong as we originally expected in Q3. And so that -- to the extent that volume rolls over into Q4, we'll see a little bit more of that cost come through. But I think that original step-up in inflation from what we had been seeing, which was around $40 million on a quarterly basis to something close to twice that is a pretty good indication of where we are right now, as we're heading into next year. Obviously, we'll start to anniversary that in the third quarter next year. But the first half, I think we're expecting that we're going to have that kind of inflationary pressure. So does that hit your first question?
Rod Lache: Yes, that gives us a pretty good idea of the run rate.
Darren Wells: Okay. So the Cooper -- I mean, I think your question on the Cooper synergies was about how much of that we might get in 2022? And at this point, Rod, we said we've gotten about $20 million effectively second half of this year. And so we have not given a number for 2022, and we're not going to give one for right now. We'll come back to that when we get to the year-end earnings call. But certainly, that $20 million we're getting in the second half, we'll get a full year benefit of that. We will start to get some of the other synergies. I will say that there are a number of the cost-saving programs for the integration that are going to be reliant on systems implementations. And a number of those system implementations, we won't get through the work on those until the end of 2022. So there is a natural step-up when we get beyond 2022 and get into 2023. But we're still going through some project planning here. We should be able to give you some more visibility when we get to February. You're -- so that's on the point on Cooper and how to think about the Cooper integration for next year. For the European line distribution, I'm actually glad that you asked the question because that program, I think, is something we really feel good about given the results in the third quarter. The team has been able to recover market share. And in fact, third quarter share, I think, is already back to 2019 levels, which is -- I think we're not sustainably there yet, but we've got -- that's a really good indication of what a good job the team has done working through the changes in distribution. And we have also started to capture some additional margin in the European business. And we had originally said, based on our experience of restructuring distribution in the U.S. that we expected to be able to get another $2 to $4 a tire of margin in our replacement business in Europe as a result of the work that we're doing. And it's still early days. We were expecting to get that over a 3-year or 4-year period of time. But I can tell you, we're already getting some benefit there in terms of the additional price and additional margin that we're getting on our tires. So I think, ultimately, our distributors are also doing better. And so this was about both opportunity to increase the value that we got for our product in the market, but also to make sure that our distributors profitability on our brands was consistent and improving. I think we're making progress on both fronts.
Rich Kramer: Yes. Darren, I would just add, Rod, I mean, really well done by the team. They took some pretty major decisions early on, on impacts that were significant to us as well as taking some decisions in the market that stopped some of the unauthorized Goodyear tires moving around. And those efforts were difficult, but are working, as Darren said; so we're very pleased with the direction.
Rod Lache: Great. Thank you.
Operator: We will move next with Itay Michaeli with Citi. Please go ahead, your line is open.
Itay Michaeli: Great, thanks. Good morning, everyone. Just wanted to kind of get your thoughts on -- or your latest thoughts on kind of longer-term earnings power of the company. Rich, you kind of compared the current period to the recovery post '09. I think when I saw, eventually had $2 billion. And given all the moving pieces, any kind of high-level thoughts on how you're thinking about Goodyear's medium-term earnings and margin power? Maybe if you can also plan on free cash flow, that would be helpful.
Darren Wells: Yes. So Itay, you understand the background here that leading up for the pandemic, our long-term average segment operating income margin was in the mid-8s, so call it, 8.5%. And we obviously have seen some compression going into 2019 that taken it down below that. And over the last two years, we've taken several actions to get our margins moving back at least towards those levels, including the restructurings that we've done in manufacturing for the Americas and EMEA, including the aligned distribution work that we're doing in Europe. And I think you're seeing the benefits of those. And so, we're now here in the third quarter, we're around that 8% segment operating income margin driven by the strong performance in the Americas. We haven't quite gotten there yet on a rolling 12-month basis in terms of Goodyear's legacy-based business, but we're close. And now we've added the Cooper business. And as Rich said, I mean, Cooper had about a 14% operating income return on sales in the third quarter. So that is also helpful. So on a merger-adjusted basis, that's why you're seeing numbers like 9%. And we're feeling very good about that. Near term, I think hard not to be a little bit cautious because of the inflationary pressures, which -- I mean, we know we've got to offset them. We've got a track record of offsetting them. Mathematically, when we get into these periods of raw material inflation, as much as we can recapture the cost and maintain income, we still have a larger denominator, and that tends to make the progress on margins a little bit harder. But I think we feel good about the momentum, and we continue to be confident in our ability to get to double-digit margins in the business in the intermediate -- call it, intermediate medium term. So I think our confidence there remains very high. And then, you had another -- I think you were also asking about free cash flow, Itay?
Itay Michaeli: Yes, that's right. Yes, definitely on the cash front. And also just on maybe the kind of CapEx into next year, kind of given what you're guiding for the Q4 exit rate, yes. And thanks for the reminder.
Darren Wells: Sure. No, that's okay. So I'm going to do this -- I'm going to use some of the pro forma information that is going to be -- it will be provided in our 10-Q when that's published later today. But we provided some pro forma information so that you have an easier time getting a feel for what the combined Goodyear and Cooper business would look like if that -- if our businesses have been combined before 2021, just so you get an idea of what the -- a little bit more what the run rate of the combined business looks like. And so, if we look at -- if you look at the trailing 12 months pro forma EBITDA for Goodyear and Cooper combined, we have an EBITDA of around $2.3 billion. If we then use kind of where things are running in terms of interest expense in the fourth quarter, so after we've already done the acquisition financing sort of run rate on rationalization, tax payments, pension costs and the CapEx, which on the two companies combined, on a pro forma basis, would have had CapEx of around $1.150 billion. It's kind of where things are running this year on a combined company basis if we took and combine the companies for the full year. You do all that math, you come up with a run rate on cash flow that would be, give or take, $300 million positive. At today's earnings at current run rate of CapEx , the -- and that's before -- obviously, before we get any benefit from synergies. So I think moving forward, there's going to be opportunity to add those synergies 2022 and 2023. I think that assumes, of course, that there's a working capital while we've reinvested some this year. I think over time, we've managed the business without -- with working capital as neither a source nor a use and kind of make that assumption going forward as well. But what that leaves us with is the question around where earnings goes going forward. And obviously, the synergies will help with that, looking to move that $2.3 billion up. But we do recognize there is additional CapEx need, given, number one, the tight supply. So we're feeling like we've got opportunities to grow. And that's going to be important. Second, we're going to have to keep upgrading our factories, given that the trends in tires and particularly when we get to the trends for electric vehicles. Those tires are going to be harder to produce and the normal impact of building those larger and mobile bus tires is to reduce existing factory output. That's for us and for the industry. And I think we will see that -- we'll have to make some investment in order to keep up with that. And then obviously, we've got to continue to improve the overall cost competitiveness of our manufacturing footprint. So, I do think that we're going to be looking very hard at our CapEx plan. We'll share more with you when we get to February. But I think we do see every reason to make some additional investments. Having said that, we're going to balance our desire to make some of those investments with what we feel like is a really important strategic need to continue to deleverage. So we want to see our debt to EBITDA coming down over time, and we're going to stick to those objectives as well.
Itay Michaeli: Terrific. I appreciate all that details. Thank you.
Operator: We will take our last question from Victoria Greer with Morgan Stanley. Please go ahead.
Victoria Greer: Good morning. And yes, just a couple, probably a bit shorter term. Firstly, on the Q4, to your point, that firstly, we clearly can expect some sort of step-up in terms of pricing given the timing of the price increases and also the need to think about price being able to offset inflationary headwinds, do you think that we can expect the $50 million cost headwind you've flagged from the U.S. factories to be fully offset also by price and mix as well as the raw materials for the fourth quarter? That feels achievable given the other dynamics that we've talked through, but just wanted to ask that explicitly. The second thing was thinking about mix, clearly, that has also been helpful with weaker OE this year. How much of that will we need to think about maybe as reversing going into next year? Or has really the majority of the move so far this year really been a brand price? The third thing then, I just wanted to get a bit of color, please, on your own inventory levels really in terms of volumes. Clearly, we can see the balance sheet inventory number stepped up quite a bit, but there's a lot of raw materials and Cooper aspects going on in there. So could you talk about your inventory levels a bit in terms of volumes, please?
Darren Wells: Sure. So Victoria, let me cover that last point first, and I'll do that because I know that at your conference, we spent some time on inventory levels. And I think we were talking about at the end of June, how much lower our days inventory were compared to where they were back in 2019. I'll say that our picture at the end of the third quarter is really not much different. So our inventory levels in terms of units are still 20% or so below -- about 20% or so below where they were in 2019. And that's -- it's different by geography, but I'll say the Americas has seen -- the greatest decline is the region where we still have the greatest need to replenish our own stocks. So I think that as we're able to do that, I think that obviously will produce some additional growth opportunity that we're not getting the benefit of right now. The impact -- I want to take your questions in reverse order, we'll come back to Q4. But the OE impact on mix, I think the -- absent a much more dramatic recovery in OE production than we're expecting and much more dramatic than IHS and other third parties are predicting, absent that, I think the impact of OE recovery over time, net-net, is not going to be a negative for us. So there will be a bit of pressure on mix, but it will come at a time when -- particularly in our international business units and may be most impactful in Asia, we're going to be getting the benefit of that volume. And we do have underutilized capacity in Europe and in Asia at this stage. So the volume impact is going to be a positive. A little bit of pressure on mix, although we're going to be bringing on some better equipments that we've won over the last couple of years. And the profit and revenue profile on those is pretty good. So then, the first question you asked, which is the question about how Q4 might look. And in fact, if we look at our Slide 10 for this quarter, the -- I think what we're looking for the fourth quarter, in fact, is -- in some ways, not going to -- on the cost side, is not likely to look that much different. It will be for different reasons. In the third quarter, we had the non-recurrence of some fixed cost reductions that we took last year come -- that were part of our COVID-related actions and we unwound those temporary reductions. In the fourth quarter, we don't have that tough comparison any longer, but we have the additional inflation and operational challenges in our U.S. factories that I talked about. So, I think if you take the temporary fixed cost reductions and the inflation bars that show up on Slide 10, I think we're expecting something for the fourth quarter that doesn't -- in the end, doesn't look that much to you.
Victoria Greer: Great. Thank you very much.
Rich Kramer: Sure.
Operator: And this concludes today's Q&A session and the Goodyear third quarter 2021 earnings call. Thank you for your participation. You may now disconnect.